Operator: Welcome to the Amyris Second Quarter 2022 Financial Results Conference Call. This call is being webcast live on the Events page of the Investors section of the Amyris website at amyris.com. As a reminder, today's call is being recorded. You may listen to a webcast replay of this call by going to the Investors section of Amyris’ website. I will now like to turn the call over to Han Kieftenbeld, Chief Financial Officer of Amyris. Please, go ahead.
Han Kieftenbeld: Thank you, Maria, and good morning, everyone. Thank you for joining us today. With me on today’s call is John Melo, President and Chief Executive Officer; and Eduardo Alvarez, Chief Operating Officer to support our Q&A session today. We issued our results in a press release this morning. The current report on Form 8-K furnished with respect to our press release is available on our website amyris.com in the Investors section, as well as on the SEC's website. The slides accompanying this presentation can also be found on the website and were posted today for your convenience. Please turn to slide two. Please note that on this call you will hear discussions of non-GAAP financial measures, including, but not limited to, underlying sales, revenue, gross margin, cash operating expense and adjusted EBITDA. Reconciliations of these non-GAAP measures to the most directly comparable GAAP financial measures are contained in the financial summary section slides of the presentation or the press release distributed earlier today. During this call, we will make forward-looking statements about future events and circumstances including Amyris’ outlook for 2022 and beyond, Amyris’ goals and strategic priorities, anticipated transactions and other future milestones, as well as market opportunities and growth prospects. These statements are based on management’s current expectations and actual results and future events may differ materially due to risks and uncertainties, including those detailed from time-to-time in our filings with the Securities and Exchange Commission, including our 10-Q for the second quarter of 2022. Amyris disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events, or otherwise. I’ll now turn the call over to John. John?
John Melo: Thank you, Han, and good morning, everyone. Thank you for joining us today. I'll provide an update on our business performance and our path forward over the next six quarters before asking Han to provide a detailed update on our financial performance, our cost reduction initiatives and our funding outlook. I will summarize, and then we will turn to Q&A joined by Eduardo Alvarez today. Slide four. Our second quarter was another solid quarter of core revenue growth and operational execution. We delivered on our business objectives and completed our heavy investment phase, as we previously communicated. Our revenue and gross margin were in line with our expectations. Our costs were higher than we originally anticipated, as we decided to make the necessary investments to build inventory and accelerate the brand development of a much larger than anticipated expansion with Walmart in North America. Our consumer business delivered 108% growth in the second quarter over the same period in 2021 and has grown 113% during the first half compared to the same period last year. Our gross margin was in line at just under 60% -- are very focused on moving the consumer brands to profitable operating contribution by the end of this year. Our technology access revenue has also continued strong growth, driven by our industry leadership in the production of clean, sustainable chemistry. Our ingredients demand has outpaced our capacity, we sold all that we could produce during the first half and are interim in the second half with an estimated $15 million of backlog orders for ingredients in addition to the contracted demand for the rest of the year. This backlog has started shipping in the third quarter as we benefit from the added capacity and the lower production cost of our new state-of-the-art bio-fermentation factory in Barra Bonita, Brazil, now producing and shipping product. Gross margins for the quarter continued in line with our expectations for the first half -- in the second half of the year, we expect gross margin expansion underpinned by Barra Bonita production, the transition of approximately 70% of our consumer production from third-party contract manufacturers into our own production and a reduction in packaging costs and also much reducing China source components, which have resulted in significant air freight charges during the first half. We invested approximately $140 million in strategic and structural investments during the first half of this year. This included $55 million in CapEx for Barra Bonita, $25 million in cash for two consumer manufacturing plants and supply chain infrastructure, $45 million in working capital to build six months of extra inventory to avoid supply chain related out-of-stock issues for our retailers, and $15 million in expense to build and launch three new brands in the third and fourth quarter of this year. To sum up the second quarter, we delivered strong operational performance. We started our Barra Bonita bio-fermentation plant as previously communicated. We closed two acquisitions, including a new consumer production facility in Brazil that's scheduled to start production this month, and we ship consumer product from Reno. We started the process of transitioning to lower cost fulfillment, and are also moving component sourcing for consumer products from China to Brazil, where we can deliver a lower cost and more resilient supply chain to support our growth. We also made significant progress with the setup of infrastructure for our expansion into Europe. Our heavy investment phase is complete. We are now executing significant cost reductions that are enabled from the investments we made, along with the scale we've now achieved in our consumer business. We will start to see these benefits from these actions flow through our financials in the third quarter with a fuller impact during the fourth quarter. We understand that in addition to building a great business, we also need to do a much better job managing expectations with the financial community. We are delivering on our internal plans and need to also deliver on market expectations and analyst models. A year ago, our consumer business was 49% of our revenue. And now it is 66%. Our consumer business delivers over one-third of the year's revenue during the holiday season. This type of seasonality, along with the additions we are making to the portfolio and the changes to our cost structure, make our business very challenging to model accurately. We will add more explicit quarterly guidance in addition to our annual outlook to avoid some of the disconnects we experienced in recent quarters. We have no need to disappoint and we will fix this. Han will cover in more detail our financial performance, outlook and our specific cost reduction initiatives to enhance our financial performance. I'd like to transition to our plan and strategy for the next six quarters and our long-term outlook. Let me start with our consumer business. I'm now on slide five. We have built the fastest-growing consumer business in health, beauty and wellness with a strong portfolio of brands that each are leading in their respective categories. This business is expected to deliver $250 million in 2022 revenue. Based on our current performance and quarterly growth rate, we expect to deliver core revenue of around $250 million in the fourth quarter of 2023 or think of it as $1 billion in annualized revenue run rate by the fourth quarter of 2023. We expect this core revenue to operate with a gross margin in the 60% range, a more than 10% improvement versus 2022. This includes our core cost initiatives and current portfolio and channel mix. At this level of revenue, we would expect around a 20% operating profit margin in 2023, increasing to around 30% operating margin by the end of 2024. Our consumer business sells one product every two seconds. We added over 3 million customers in the first half alone and have some of the best-performing SKUs in the categories and markets we participate in. For example, our Biossance serum was the best-selling serum on Tmall in China during the month of April. And our Biossance Vitamin C Rose Oil is one of the best-selling Vitamin C skincare products in North America. Our strategy with our consumer portfolio is simple, create brands that can achieve $1 billion market valuation in categories like skin care, hair care, color cosmetics and menopause where we can deliver the best performing products in the category at an accessible price and select partners that have access to a unique community so that we can grow awareness and revenue most efficiently. We need to control our destiny to build a truly great company, that delivers real products that consumers want and need and to make the full impact on our planet that synthetic biology is truly capable of. As an example of our leadership in building clean consumer brands, we have just completed an agreement with David Beckham to develop a leading men's clean skin, hair and wellness brand. David is a great addition to our current portfolio with over 75 million Instagram followers globally and a real passion for sustainability. We expect to have this brand in the market at the end of 2023. Our current consumer portfolio has an estimated market-based valuation of over $2.5 billion. Our homegrown brands like Biossance, Pipette, JVN, Rose Inc. and Purecane deliver over 75% of our consumer revenue. Our acquisitions have also done well. As an example, Costa Brazil is growing over 300% this year and MenoLabs is delivering over 200% growth this year at the highest gross margin of any brand in our portfolio. We are constantly making resource allocations, and we will not invest in brands that don't perform. Long term, we expect our portfolio to be about 12 brands in categories where we can win and sell through an omnichannel strategy with our direct-to-consumer leading in revenue contribution and our retail partners led by the leading retailers in the world in their respective geographies. Slide six. Building and operating the best performing consumer brands has enabled us access to the world's leading retailers. We are in process of significantly expanding our relationship with Walmart as an example. We now have Pipette in over 4,000 Walmart stores. We are expanding rapidly in Walmart with Purecane, and we'll launch 4U by TMRE later this year. The 4U brand is a great example of collaboration. We are building a brand for Walmart to meet a critical need of delivering the best performing products that are sustainably sourced for their consumer. This is the start of a relationship that has the potential to be one-third of our North American revenue in 2023 and beyond. Last week, Walmart was the leading retailer in our portfolio in terms of top units sold for a single brand. We sold 37,121 units of OLIKA across Walmart alone during last week. The best external comparison for our consumer business is the Unilever Prestige business. What we can conclude from public data is that we are executing on a consumer business that has a like financial profile to theirs. We are doing this one-third faster than they did and for 90% less capital. Our brands are delivering stronger growth. They perform cleaner and better products and are delivering better loyalty. They have about 12 brands in this portfolio and started building this business in 2014, and they reached $1 billion in revenue in 2021. We started in 2016 and expect to reach $1 billion run rate for the fourth quarter of 2023. We are growing at a faster rate, spending significantly less for our growth and delivering a similar financial profile, faster, better, cheaper. This is what our lab-to-market technology has enabled us to achieve with the consumer. Slide 7. Let me now turn to technology access and our Ingredients business. In the first half, we did not have enough manufacturing capacity to meet demand. We have over $15 million of demand backlog that will start shipping during the third quarter because of the successful Barra Bonita startup. We are the world's lowest-cost producer of sustainably sourced natural ingredients. Our ingredients are typically contracted for the next 10 years, and we will run Barra Bonita at full production capacity for the foreseeable future. Barra Bonita started with vanilla production in June and has delivered our best vanilla fermentation performance to date. We just recently started production of our second molecule at Barra Bonita. This is our 14th molecule to reach industrial scale, a confidential molecule that is another breakthrough for the fragrance industry. This production has also started well. Both of these are demonstrating the excellent performance of our team at Barra Bonita and the real breakthrough in manufacturing technology that we have designed, built and are now operating. This year alone, we are scaling more new ingredients than any other company in our sector has scaled in their entire history. The competitive comparison is simple. We develop and produce molecules, while the rest of the sector is making organisms. Organisms are catalyst on the path to making what consumers and customers really want and need. That's molecules. That's why we generate more revenue, industry-leading growth and stronger margins than most in our sector. We are strategically advantaged with our business model and the value we capture from the value chain. You can see this in our core revenue in the second half, as we start really meeting demand with Barra Bonita. You can also see this in the value we've demonstrated, we can get from providing marketing rights to our molecules. Last year, we generated $50 million to $100 million in value for each molecule we provided long-term marketing rights for with our strategic transactions. This year, you'll see this value significantly increase, as we sell marketing rights to two molecules to two more of our molecules. We are scaling and commercializing three to five molecules annually and have a pipeline of over 25 in active development. We are delivering what the world needs, sustainable chemistry for a healthier planet. In these transactions, we remain the manufacturer and continue to generate a long-term revenue and margin stream from these products and their underlying technology. This is the royalty built into our technology. This royalty alone is more value we see any competitor generating from their small slice of many programs for organisms business model. Let me now end with our second half financial actions and sources of capital. Slide eight. We are leaders in synthetic biology, delivering molecules that are making the world healthier for all. We have the best-performing consumer brand portfolio in clean health, beauty and wellness markets. We have a clear path to a business that delivers $1 billion in run rate revenue by the fourth quarter of 2023 based on our continued successful execution of our strategy. We are committed and confident to non-equity funding to ensure we achieve the full value of our technology platform and realize the future of the business we have built. We are executing on and have visibility to over $700 million of non-equity funding and cash inflow from earn-outs to continue executing our growth strategy. We have term sheets for up to $250 million of term loan financing. We expect to close this before the end of this quarter. We have made very good progress on the strategic transaction to sell marketing rights to two of our molecules. We expect to close this transaction before the end of this year, and the transaction is expected to result in about $350 million of upfront cash and around $400 million of total value. In addition to these two sources of capital, we expect over $230 million in earn-outs from the strategic transactions we completed in Q1 and Q2 of last year. We are working through advancing some of this earn-out into this year, with the remainder becoming available annually over the three-year earn-out period. We are fortunate to be performing on the high end of the earn-out calculation based on the demand for our clean sustainable molecules. In addition to non-equity funding for our continued execution, we are also executing on a significant cost and efficiency agenda. The successful start-up of Barra Bonita and the investments we made in supply chain and manufacturing assets earlier this year have enabled us to execute on several actions that significantly reduce our cost base going forward. These are our fit-to-win actions. These actions are expected to deliver $50 million of adjusted EBITDA improvement in the second half of this year and $175 million of full year adjusted EBITDA improvements for next year. These include price increases, significant reduction to COGS and significant reduction to our SG&A without impacting our consumer growth. Han will cover the Fit to Win agenda in more detail. Eduardo Alvarez is leading on a major part of our Fit to Win activities and is with us this morning for the Q&A session. Let me summarize and transition to home. We are focused on three priorities; delivering industry-leading growth and maintaining market leadership for our technology; delivering cost improvements to realize the full benefit of our scale and consumer brand leadership; and funding our business near-term with non-equity sources of capital. Our guidance for the year remains unchanged. We expect to deliver over 150% growth year-on-year of our consumer business and around 40% growth in our technology access activity. The combination of our Fit to Win agenda and our continued business performance should result in a clear path to positive adjusted EBITDA in 2023. We -- our second half has started strong with July delivering our best consumer sales performance to-date this year. We have great traction on our cost actions and clear visibility on our funding. Han will now provide a review of our financial performance and additional detail around our transformation agenda and what you can expect. Han?
Han Kieftenbeld: Thank you, John. Please turn to slide nine. This morning, I will be covering three topics as follows. Firstly, I will discuss our Q2 financial results as it relates to revenue, gross profit operating expense, and cash. Secondly, I will describe five new business actions that John mentioned that we are undertaking to much improve our financial performance, we refer to these as Fit to Win. And thirdly, reiterate our outlook for the year. I will use most of my time to focus on discussing and connecting items one and two. Let me start with revenue. This is slide 10. As John described, our second quarter was another solid quarter of core revenue growth and a new record in consumer growth. Core revenue, which includes consumer and technology access revenue and excludes strategic transactions and other one-off items, increased 54% to $65.2 million when compared to Q2 of 2021. Core revenue included record consumer revenue of $43 million, which increased 108% and technology access revenue of $22.2 million, which increased 3% versus prior year. We have now completed 14 consecutive quarters of revenue growth with our consumer business, principally from organic growth. Also, we are significantly outperforming the beauty and personal care sector with the peer group growing anywhere between 2% and 26% in Q2 versus the same quarter of last year. Again, we grew 108% and 31% on a like-for-like basis. Technology access revenue growth of 3% was due to technology license revenue from the F&F earnout, partially offset by lower Squalane and Hemisqualane revenue due to capacity constraints that we have previously discussed. A major milestone in unlocking our ability to increase technology access growth rates was achieved during the quarter as our planned in Barra Bonita was commissioned. Barra Bonita will help to address the supply constraints we have experienced and also addressed most of the negative margin impact we have seen from sourcing products from third-party manufacturing. The growth in consumer is meaningful and is now two-thirds of our core revenue. This was just one-third at the end of 2019. The creation of demand is coming from more brands, new formulation, more stores and doors and finally, international expansion.  We need to make sure we can meet the demand with the improvements we are making in our supply chain and also deliver it with much better unit cost economics, which brings me to my second item, which is gross margin. We're on Slide 11. At Amyris, we have historically talked about non-GAAP gross margin measure, which includes direct product COGS, but not all aspects of making and delivering the products such as certain freight charges. It is also a measure that you can more easily correlate to GAAP financials. We plan to move to gross profit in the New Year, so we can align our disclosures all at the same time. Non-GAAP core gross margin of $28.4 million or 44% of revenue, increased from $16.5 million or 39% of revenue in Q2 of 2021. Increased gross margin in the second quarter of this year reflects a year-over-year increase in technology license revenue, which was partially offset by lower average consumer gross margin due to brand portfolio and channel mix. Also higher ingredient input costs due to unfavorable contract manufacturing economics and lower R&D collaboration revenue. Additional impacts not shown here, but of note, given that the impact of profitability is the significant increase in freight and logistics due to higher rates and increased air freight to support three new brands and the build of six months of safety stock to address external supply chain challenges, those were the three important factors. Direct cost of goods sold grew by about $11 million and freight by about $12 million, of which $8 million was airfreight. The significant portion of the cost increase can be attributed to operating and growing at pace and also the challenged supply chains caused by COVID. The takeaway regarding gross profit is that we made strategic investments in our manufacturing and supply chain footprint, both on the consumer and ingredients side. Now is the time for us to recalibrate our cost base. I'll quantify those opportunities when I address our Fit to Win initiative. This brings me to my next topic, which is operating expense. We're on Slide 12. We're operating eight brands today and anticipate three launches in the second half of 2022 compared to four brands a year ago. To support top line growth, we have significant investments as a result of which our cash operating expense has grown as well to about $136 million, an increase of $74 million versus the prior year quarter. These increases were driven by a new – by a few significant factors. The increases were principally related to selling expense and driven by a combination of increased headcount, both organic and from acquisitions, significant investments in both existing and developing brands for paid media and advertising, expanded retail and e-commerce sales in the US and internationally and growth-driven consumer order fulfillment and shipping expense, and lastly comparatively low prior year travel expense due to COVID-19. Shipping and handling, our pick-pack and ship as John calls it, increased by $6 million versus the same quarter of last year, due to significant growth in DTC orders.  The fourth and last item here, I wanted to discuss is cash. As a result of our elevated expense, our use of cash in the quarter was also elevated. Principally due to investments in brand marketing of both new and existing brands. Additionally, we deployed significant cash for the construction of Barra Bonita. This was $33 million in the quarter that we self-funded. We used $186 million, of which $125 million was related to EBITDA. We funded inventory for consumer goods, both in terms of packaging and finished material which was partly offset by a decrease in ingredients inventory and increased payables. CapEx continued to be a significant component because of construction of the Barra Bonita plant, as I just mentioned. We completed the Interfaces, which is the Brazil consumer facility and Onda Beauty, which is retail and treatment acquisitions. The combined total of CapEx and M&A investment was $43 million in the quarter. As John indicated, the use of cash in the first half has been significant, and we plan to address with clearly defined actions. So let me now turn to Fit-for-Win, slide 13. We have taken a number of actions that logically correlate to the items I've highlighted as part of the quarterly financial results. Fit-for-Win consists of five initiatives that are positioned to provide focused execution and acceleration in areas most material to our cost base, margins and EBITDA, because of our portfolio and our scale, we find ourselves at this important point in time to leverage what we have built for a much better cost structure and cash conversion cycle. Number one, price increases. We expect this to deliver $10 million in the second half and just over $30 million in the full year 2023. We have already increased prices on some of our ingredients, and these will have full effect in Q3 and Q4. Additionally, we will raise prices in our consumer portfolio. Number two, marketing cost reductions. We look to capture the benefits of our growing economies of scale in our support model. $21 million in the second half and $65 million for the full year 2023 and beyond. We have identified substantial opportunities to reduce our marketing spend as a result of the rapidly changing digital media landscape and through portfolio leverage. Number three, COGS reduction for our ingredients. This means that we will leverage our Barra Bonita precision fermentation capability to reduce production and shipping costs by $10 million in the second half and $30 million for full year 2023. Number four, COGS reduction in consumer, simplify and drive scale across our consumer brands and cost structure. Consolidated production of a large part of the portfolio at our two plants, simplify components and packaging. This will have an effect of $5 million in the second half and $30 million on an annualized basis in 2023. Fifth and last, shipping and fulfillment, optimize our footprint for distribution, lower cost for pick, pack and ship. We expect $4 million in the second half of this year and $15 million full year 2023. Again, this is predominantly a cost for our consumer business and DTC, direct-to-consumer in particular. As John mentioned, together, these initiatives when compared to the first half run are expected to deliver $50 million of adjusted EBITDA to the second half. In addition to the cost benefit, these changes will also result in a much more robust supply chain to avoid some of the costly issues we have dealt with during the first half of this year. During the first half, we developed a strong foundation through significant investments in our manufacturing and supply chain footprint. The scale we achieve with our consumer portfolio and the performance of our brands with consumers. This is a foundation, which now allows us to accelerate these improvements that I just described. Moving to slide 14 on the outlook. Regarding revenue, we are reiterating our full year core revenue. Consumer revenue is expected to grow more than 150% year-over-year and technology access is estimated to grow around 40% versus the prior year. Finally, regarding capital funding. As John mentioned, we have visibility on $700 million, of which we expect to secure $200 million in non-equity financing in Q3, $350 million from a strategic transaction expected by end of Q4 and the remainder from earn-out no later than the early part of 2023. Thank you all for listening today. John has concluding remarks before we open the line for questions. John?
John Melo: Great, Han. Thank you. We have built the leading consumer brand portfolio and are delivering the best growth in consumer health, beauty and wellness markets. We have the brands consumers and retailers want and the products the world needs for all of us and our planet to be healthier. We have the assets and are executing on a clear path to a $1 billion revenue business that delivers 20% or better operating margin by the end of 2023. We're achieving market leadership, and we know we can do better and will do better. And we appreciate your support. With that, let's turn to Q&A. Maria, can you help us move to Q&A?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We will begin with questions by phone. We ask that you please limit yourself to one question and one follow-up. At this time, we will pause momentarily to assemble our roster. Our first question comes from Colin Rusch with Oppenheimer. Please, go ahead.
Colin Rusch: Thanks so much. Thanks so much, guys. Having gone through the sort of cash cycles with you guys a couple of times in the past and noting that you had visibility to these sorts of transactions. Can you give us just a little bit more detail on this $200 million in 3Q here in terms of the maturity of those conversations, your ability to close quickly and how much variability there is around the actual number?
John Melo: Colin, thank you. I'll provide a quick update, and then Han can jump in. The conversation is well along. We have term sheets, one of which is fully executed. We are deep in the process and we've agreed a time line to close, and we don't see anything right now that would get in the way of that. So our confidence level is very high. And like you can imagine as a company, we're not going to sit and take risk and not having something happen. So we also have complete access to shareholder -- key shareholder financing, if necessary. So we're well positioned and again, very focused on just executing on our plan and really delivering on the fit-to-win agenda, which we think is our cost structure in one of the most advantaged places for the kind of assets we're currently performing with. Han, would you like to add anything else to that?
Han Kieftenbeld: No, I think that's right. We both said we had that visibility and we are pretty confident that we can execute on this in the third quarter so -- 
Colin Rusch: Okay. That's super helpful. Then on the product side, obviously, you guys have ramped into sugar and you've seen some substantial diversity of these end products. But, I guess, in terms of mix and channel, can you give us just a better sense of how the revenue is breaking down by category within the consumer space and some of the leading channels? I know you offered some details on Walmart here, but just want to get a sense of the resiliency of that revenue growth across segments as we go forward.
John Melo: Let me, first, maybe start with a channel conversation, Colin, and I'd say our number one channel in absolute revenue is obviously our direct-to-consumer business, and we see that continuing to be quite robust, I think, the second single biggest channel we have currently is Sephora as a retail partner. And we see the two working very closely together. Consumers discover new brands at Sephora and then they build a long-term relationship with the brand, assuming the product works, and we see that relationship continue with purchasing and relationship management on our direct-to-consumer site.  As a matter of fact, a little fact towards that, we don't talk about much about half of our direct-to-consumer traffic is our customers who discover the brand at Sephora to begin with. We see our channel structure expanding and we see Walmart becoming a third leg, our D2C, Sephora and Walmart and really for our more mass brands, as well as some of the specialty work that we're developing for Walmart in partnership with them.  So that's kind of how we see the channel structure evolving and I think what you've seen this quarter, really last couple of quarters, which is about a 50:50 mix from a revenue generation, from our direct-to-consumer versus all other channels and the all other channels, whether they're online or offline are about the same margin structure right? I think currently, we're probably most challenged in margin structure working in the China market, which is growing significant for us. Last year, we did about $2.5 million in China. And this year, we're forecast for about $15 million out of the Chinese market. So significant growth there.  Our Brazilian market is also growing significantly, but really challenged in margins because of the fact that we import into Brazil, most of the products we sell, that is changing as we speak. We're actually moving to our plants in Brazil to make in Brazil and ship out of Brazil which will be a significant shift to our margin structure, not only in Brazil, but outside because of the lower cost of production we've been able to achieve in the Brazilian market.  And then we see a lot of international expansion. If you think about the UK market is really taking off for us in a very big way. I think we're just scratching the surface in the UK. We're going into Douglas in Germany, 130 stores in the month of August and September actually, with the German launch of the Biossance brand.  So just in general, really robust across geography, across retailers and the balanced mix really driven by our omnichannel strategy. When you think about categories, skin care today is obviously our biggest category. Hair care is growing very, very rapidly. I would not be surprised if by the end of next year, hair care and skin care are equal in revenue contribution for us as a company. And then then what I would say, Colin is, there's some specialty areas like menopause. We like the menopause category a lot. We think we have some unique insight. We think we have a great partner and we think we have some great science, especially with the new ingredient that we created specifically to -- for women in menopause. So – if you think about menopause this year, like last year was a category that didn't exist. This year, we'll do about $25 million in menopause. And then I would expect next year for us to do somewhere between $50 million and $75 million in menopause. So, think about specialty categories third and then kind of tied first and second skin and hair as we end next year. I don't know if that helps or not, Colin?
Colin Rusch: Yes, that's exactly what I needed. Thanks so much guys.
John Melo: Thank you.
Operator: Our next question comes from Steven Mah with Cowen & Co. Please go ahead. 
Steven Mah: Great. Hey, thanks for taking the question. I got a question on the consumer revenue guide. Given Q2 was only about 108% growth to hit the 150% plus growth in consumer for this year. So, the second half assumes a pretty aggressive step up versus the first half. Could you provide a little bit of color on how you're maintaining your confidence around the guide?
John Melo: Yes. I mean -- and this is an important point, Steve, and thank you for being on the call. We could see in a lot of the analyst models that there isn't a lot of cadence on the quarterly revenue connected to what our actual business activity is. So -- and I think it's all around exactly the question you asked, okay? So, there are two significant factors going into the second half. I mean first of all, the fourth quarter on a like-for-like basis is about double what the third quarter is in consumer revenue. And that's been the case, just looking at our history. And that's all driven by seasonality really around two or three days in the fourth quarter that drive the holiday season. I think the second factor, which is super important for us this year, we have three new brands that launched late in the third, beginning of the fourth quarter, including a major ship to trade with Walmart and a brand we've developed for Walmart called [indiscernible]. The three new brands alone generate over $20 million of revenue in the fourth quarter that did not exist at all and don't exist now in our portfolio. So think about it as three new brands, $20 million or more from the new brands and then a 50% jump third quarter to fourth quarter on the established base, just based on holiday and seasonality. So when we think about the forecast we've given, we actually think about what the third and fourth quarter do historically. What our current traction is and a layer of newness. The last point I'll say is something new this year is we have just finished significantly expanding our selling footprint inside of Sephora for the Jonathan Van Ness brand and for the Biossance brand. If any of you have visited Sephora over the last week, you'll see us front of store, you'll see us with much bigger displays and all of that on the back of the productivity, we're delivering for Sephora in-store because of demand for our brands, so significantly greater selling footprint in our number one market in the world, North America and then significant expansion geographically. We have Singles Day in China, which will be a huge day for us. And then we have the expansion going on in the UK. We have the expansion in Brazil that happens in the third and fourth quarter with several new brands going into Brazil. And then we have Dopeless in Germany, which is 130 stores, very good selling space with our top brands. So, those are the components, Steven, that make up the difference in layers going into the second half of the year from a revenue perspective in consumer.
Steven Mah: Okay. Got it. Very helpful. And maybe just a follow-up question on the consumer. Can you talk about your impact of your fit to win where you're going to be raising the prices? Can you talk about the impact of those price increases, given the inflationary environment and pressure on the consumer? Thank you.
John Melo: Yes. We -- it's a great question, and I'll -- I hope that the result is the same we've seen in our ingredients, which is we raised our prices on two of our top ingredients and demand has gone up in the second half based on orders placed. So, I'd expect the consumer to be quite robust in that we're being very strategic about where we're raising prices. So -- and to make it simple, we have SKUs that I'll call the entry-level SKUs. 100% squalane in the Biossance brand is a good example. It’s a competitive product. It's price compared, and it's something that we used to acquire customers. On the other hand, we have specialty products like the Vitamin C Rose Oil, which is unique. We're the only ones who make the performance and deliver the performance in Vitamin C Rose Oil that our product delivers, and it's a product that's in high demand everywhere that we're now launching into and then obviously, continued to be number one across North America. So, in that product, we believe there's more price elasticity and a bigger opportunity for us. The other thing I'd say is just about all of our competitors have already put price increases through and we're seeing them hold pretty steady in their performance, especially in the prestige space. So, I guess, there's more to be seen, Stephen, but I would tell you that based on what we see so far, we think there's a solid position to maintain our growth while putting a price increase through.
Steven Mah: Okay, great. Thank you.
Operator: Our next question comes from Sameer Joshi with H.C. Wainwright. Please go ahead.
Sameer Joshi: Hey John, hey Han, thanks for taking my question. I just wanted to dig a little bit deeper on the gross margin improvement. One of the factors you said impacted the gross margins was brand portfolio mix and channel mix. How are you overcoming that, or is this mix baked in your forward expectations?
John Melo: Two things. The mix is baked in. And if you think about what the mix really means, you'll notice second or first quarter to second quarter, a shift in direct-to-consumer in the mix of total sales. You don't see this, but I'll highlight it. The results were pretty significant jump in China sales. So, you think about the geographic mix, you think about the channel mix, D2C versus store, and then thirdly, the portfolio mix, which is probably the lowest impact of the three on the total margin profile for the second quarter. But that mix really talks to we added on the beauty and we added some other aspects to the portfolio that have a lower margin profile than, say, Biossance or Meta Labs, which are -- Meta Labs north of 70% gross margin and Biossance in the mid-60s. Our opportunity right now is with all the actions we've spoken about, we have a significant opportunity to put the gross margin for consumer at or above the top of the range of the guidance we had given at the beginning of the year. And that's really what we're focused on and we've given you a couple of examples, but I'll just highlight a major one. Just in packaging for the Biossance brand, which is our biggest revenue generator, we are in the process of implementing a change that will take out 30% to 40% of packaging costs. And to give you a sense of what that means, packaging costs are about two-thirds of the cost of goods for the Biossance product line. So, some people will say to me, like, why am I worried about packaging? Well, in the consumer business, packaging matters a lot. Packaging, pick, pack, and ship are actually the majority of the cost of goods where the ingredients themselves are less than a third of the total cost of goods for the products we make. So, I hope that helps in giving you a sense of how mix plays out and then what we're doing about the margin structure, which is enabled by the investments we made. There is nothing Han talked about in the Fit to Win strategy or an agenda that is not already enabled by investments made and what we're really talking about is executing in those investments and pulling through the benefits of those into our financials in the second half.
Sameer Joshi: No, this was helpful. Thanks for that. And then my other question is about the slight impact on the technology access revenues were impacted by the production campaign timing of the F&F ingredient. Going forward, well, part A of that question is, is this related to the Brazil facility? And part two is, going forward, how would you be managing these impacts from a timing perspective?
John Melo: Yes, great question. Look the ingredients enablement is all about the Barra Bonita facility. And I'll give you an example of how intense the pressure has been. Our core molecule farnesene is a great example. We have not had the farnesene to support our major customers. And if I just give you a few examples. I mean hemisqualane, which farnesene derived since about the middle of the first quarter, demand has just skyrocketed. We've actually sold every drop of hemisqualane in our entire channel. We've got a backlog of hemisqualane that I've never seen in my life because when we launched Jonathan Veness, just about everybody brand that mattered and every hair care brand that matter started inquiring with us about how they could access hemisqualane, and we're just out of supply. So that is one key driver. The second is Squalane. We're seeing significant growth in Squalane around the world. that we've not been able to supply in the last few quarters that we see coming through. And the third example, which is also a farnesene-derived molecule is the polymer we supply Kuraray, which is a critical polymer for several tire manufacturers and we've had an order on the books for Kuraray now since the beginning of the year that we finally will be able to fulfill. So it is all about Barra Bonita. Farnesene is a key driver of that, but it's not just farnesene. I mean we have just last quarter, like 2x to 3x the demand for the RebM sweetener that we've been able to deliver on. We've got Ingredion basically pounding on our door telling us we need double the RebM that you're supplying us and we need it yesterday. So we have RebM, we have farnesene, we have more demand for vanilla and we've been able to produce, just to give you some examples of what's in the cards that really will enable supply with Barra Bonita. And that is why Barra Bonita is like working at full throttle as we could see for the foreseeable future. As of about August 15, we'll have the three biggest lines operating and delivering product at Barra Bonita. Those three main lines are super flexible, they're super advanced engineering for fermentation and they are equal to the total manufacturing capacity of our old [indiscernible] facility, just to give you a sense of scale. We have two additional lines, which are smaller that we'll be bringing up between now and the end of the year, and we're already starting the expansion project to bring in several large tanks into Barra Bonita that will give Barra Bonita about 3x the capacity of our old [indiscernible] process plant over the next 12 months to 18 months. So I hope that gives you a sense about what is actually been holding back our ingredient revenue, how we see it being unlocked and where we see the product going.
Sameer Joshi: Got it. And if I may, just one last question. In for the mid to longer term, how do you see revenues growing from 2023 onwards, just if you can just have a longer broader picture?
John Melo: Look, I don't see a significant change to our growth rate between now and, call it 2024, 2025. I mean, obviously, when you look at the absolute numbers, I don't know that we'll be growing consumer at 150% a year for that entire period. But when you look at our absolute revenue growth, being at 50% to 70% top line revenue growth for the company is something I expect and we have assets to be able to deliver on. And more importantly, we have strength in brand in channel partners and in technology to execute on that.
Sameer Joshi: Great. Thanks for that, and good luck. Thanks.
John Melo: Thanks, Sameeer.
Operator: Our next question comes from Rachel Vatnsdal with JP Morgan. Please go ahead.
Rachel Vatnsdal: Great. Hey, guys. Thanks for taking the questions. So first, just a follow-up on Steve's question about the consumer guide, so you're reiterating the consumer revenue growth of greater than 150% for the year. I believe you stated during that May conference circuit that you guys were going to be north of $250 million of consumer revenue this year, which really implies more like 170% growth. So just given some of the puts and takes in the macro environment that's played out so far during the year. Is this still a viable number for consumer, or should you really dial it back to that 150% growth?
Han Kieftenbeld: What I would say, Rachel, so we have – as you can imagine, all the same concerns everybody else does, right? It would be crazy for us not to be thinking about some of the pressures on the consumer, we've been very surprised at the robustness of our consumer. And a lot of what we're seeing is trade down, right? We're seeing consumers that were buying luxury trade into prestige, and we're seeing prestige, especially for our consumer brands because they're new, they have minis, and they're delivering on the customer promise and the consumer promise, we're seeing them hold up. I am not seeing across our brand portfolio any change that would signal we would need to back off that guidance as we sit here today. We are monitoring it very carefully. Look, a great example of that is Walmart where it's been public. Some of the challenges Walmart is based on its shelf and with its consumers However, when it comes to beauty and personal care, they're not seeing that slowdown. They're not seeing that impact. And we see ourselves playing in to that performance at Walmart being an example of a retailer. If I think about the UK market, it is on fire right now for beauty and personal care. If I think about the China market, it's had significant challenges and yet we've been able to deliver and really have a brand that's outperforming other prestige brands in China. So very conscious of the environment we're playing into. I'm observing a couple of interesting things, which is, it appears that the inflationary pressure is either peaked or starting to back off a bit. And I'm seeing a consumer that even though is concerned and uncertain about the financial future is still taking care of themselves. They're taking care of their skin. They're washing their hair regularly, and our products are becoming a bigger and bigger part of them doing that. And one of the things that's very clear, women are not putting hot flashes on pause during the financial uncertainty, and that is a key market. We haven't shared this widely, but MenoLabs, our acquisition actually has done super well for us. It will deliver around near or just above $20 million this year in revenue. But more importantly, over 60% -- about 67% of its business is on a subscription that consumers are just continuing to grow. And I don't see that slowing down. So I have the concerns that you've expressed, but I'm not seeing it impact our revenue to date on consumer.
Rachel Vatnsdal: Got it. Thanks. And then on gross margin, can you just walk us through what was the gross margin contribution for consumer versus technology access this quarter? And then on that, $1 billion run rate for core revenue by the end of 2023, you mentioned that, that would come out of about a 60% gross margin. So how should we think about that gross margin contribution from consumer versus technology access at that point as well? Thanks.
John Melo: Yeah. I'll let Han quote the adjusted gross margin numbers for the quarter, consumer versus ingredients. And then I'm happy to share with you what that looks like in 2023.
Han Kieftenbeld: Yeah. So just -- just a quick bit of color there. On consumer, in total, we were just under 60% this quarter. So that was consumer in the aggregate. As John mentioned earlier, we had obviously, channel mix, portfolio mix and a number of things, but that's pretty much consistent actually with the first quarter, but that's the totality. In terms of technology access, of course, the pieces you have in the repeat, because it's important, as the ingredient products portfolio. We have our technology licenses that, includes the earn-out as well as the collaboration revenue in that some gain there. Technology Access was -- and because R&D revenue or collaboration revenue and the license revenue is 100% kind of margin accretive, you can get a little bit of flux from quarter-to-quarter, more so than certainly we see with the consumer portfolio. In Q2, it was just around 18% -- 1 - 8. So that -- those are the two numbers that you should know.
John Melo: And to cap that off, I'll just say that, when you look at the fourth quarter of 2023, you can expect around 80% or so of that to be consumer, and then the rest of it to be technology access from a revenue perspective. And from here to there, based on our Fit-to-Win agenda, -- you can expect to see margin expansion on consumer, pretty significant, I'd say, probably close to 1,000 basis points. And then also about 1,000 basis points in expansion on the ingredient side for a different reason, ingredient side because of Barra Bonita and then consumer because of packaging, supply chain and the move to our own manufacturing. So those are the drivers in the Fit-to-Win agenda. Again, about 1,000 basis point expansion in gross margin for each one, of the categories and about an 80-20 mix consumer versus technology access as we exit 2023. I hope that helps.
Operator: Our next question comes from Randy Baron with Pinnacle. Please go ahead.
Randy Baron: Hi guys. Can you hear me?
John Melo: Yes, we can.
Han Kieftenbeld: Randy, thank you.
Randy Baron: I really appreciate all, the granularity that was given today, but I don't want to bury the lead. So given that G&A has been elevated, but you're going to take out $150 million of costs, where do you see cash at year-end 2022?
Han Kieftenbeld: Look, if I'm -- if I'm aggressive, I'd say, north of $400 million, if I'm super conservative, I'd say, south of $300 million. That's kind of where I see it going. And that is based on the execution of the two items we've highlighted. Completing the term-loan, which we are confident of and well on track for, and then secondly, completing our strategic transaction, which we are also very confident. We made a lot of progress and are now on a track to close, as communicated earlier before in the year. So I think that's how we look at it, Randy, a low end of 300 to a high end of 400. And obviously, if we're super successful and advance more of the earn-out into this year, it could be north of that, but that at least gives you a range to work with.
Randy Baron: Yes. That's great. And part of that, obviously, is the molecule monetization that you've mentioned. Previously, you had said that it was going to be $250 million. Today, you said north of $300 million. I'm wondering, at a high level, if you can talk about just what changed and why do you think that value has gone up?
John Melo: Look, we were in a process. I mean, I'm using process loosely. We didn't hire a bank, but we had several people in the process when I first communicated that strategic transaction for ingredients and then since then, we've locked on to a specific buyer. We've advanced the pricing of the deal and the valuation of the molecules. So I'm now able to give you a more confident range where I think we'll come out first on what we -- where we are for upfront cash and then where we are for earn-out and long-term value.
Randy Baron: That's great. Have you given a range for what you think the upfront kind of cash number will be as part of that monetization?
John Melo: Yes. I have said -- actually Han said it on the call, which is $350 million is the upfront number.
Randy Baron: Wow. That's great. Okay. And then last thing for me. On Beckham is super exciting, I mean that's thrilling to hear given his reach and obviously, the [indiscernible] brand is as well. I'm just curious, is the structure of those going to be more JVN 100% owned by Amyris or more Rose Inc., where there's some equity kind of owned by them? How is that going to look? Thanks so much.
John Melo : Both our brands where they have a share and then specifically with TMR, it was really important and for all the right reasons, which I support wholeheartedly that Walmart has a black female owned brand on their shelf. So we've actually structured TMR very different than our other deals. However, the way the economics work and the transfer pricing keeps us whole on economics and actually enables a very interesting business for both her, us and Walmart.
Randy Baron: Thank you.
John Melo : Thanks, Randy.
Operator: Our next question comes from Graham Tanaka with Tanaka Capital Management. Please go ahead.
Graham Tanaka : Thank you. Thank you. Thank you for your answer so far. Equal employment opportunity employer, let's give lot a chance to speak. We're very excited about your startup of Barra, but it sounds like it's going ahead of expectations. If you could discuss what is there -- versus expectations in not only on production, but yields and cost sold? Thanks.
Eduardo Alvarez : Hey, good morning, Graham. Good to hear from you. I think as John mentioned, Barra Bonita has started really well. We are producing two products between now and the end of the year. We have a total of six that we will be producing. It will encompass as we look at it around 60% of our total production for this year. So that gives you a sense for how quickly it's scaling up. The performance for the first two products has been as we expected. The productivity and the yields are with a number. And the really exciting thing that I can comment on is our resilience in terms of the turnaround times and the ramp-up times that we have experienced. We can't forecast everything that we will see, but it really has started very well. John mentioned, for example, our Hemi-Squalane and Squalane challenges in the first half. We are on track to double the production in the second half for those two products as an example of the scale-up and resilience that we expect to see Graham.
Graham Tanaka: That's great. How about the cost of goods sold? What kind of costs are you seeing at Barra Bonita or expect the Barra Bonita, perhaps by the fourth quarter as you get to steady state relative to the CMOs. I don't know how specific -- but they looks like they…
Eduardo Alvarez: Yes. If you think about the fit-for-win actions at Barra Bonita, Han talked about. We expect $30 million on a run rate basis, $10 million by the end of the year. The major benefits we see in the cost of goods sold have to do with start with the production costs. We are seeing material improvements in the productivity and the scale of the plant. We see a lot lower energy costs than we have seen in our other facilities. And frankly, from a labor perspective, also a great advantage also in the productivity. So, we can -- I can't disclose the specific unit cost, but I can tell you materially the $30 million that we are forecasting in an annualized basis is a very doable number. And we are going to definitely be there in at least half of the products that I mentioned. I would just want to say of the six products that I talked about, Graham two of them are brand new. Two of them are brand new. John already mentioned one, confidential fragrance. And we'll have one more by the end of the year that you'll be hearing more about.
Graham Tanaka: That's really great. And one of the things that I've been particularly curious about is you've talked about how you're adding a lot of company-specific -- Amyris designed processes and technologies at Barra Bonita, but I assume you did not show to the CMOs. How much of an advantage is that going to give you? And I almost would view that as almost a permanent crisis manage versus the Amyris?
Eduardo Alvarez: Yes. One example of it is, in one of the lines that we have, I think John mentioned, it's really going to basically -- our turnaround time is so efficient and the design is so resilient that we're going to basically run three campaigns between now and the end of the year as an example. So yes, we do have a lot of know-how that we put into the plant. The design is vertical. So it allows you also to have far more resilience in between the stages of production. And frankly, I think the most important thing is our people. We are -- John mentioned, the team on the ground is incredibly experienced and focused to -- Barra Bonita is not just a great asset for Amyris. It's a great asset for the planet and a source of tremendous pride for Brazil. It's a -- we are hiring the best in the industry, because we have delivered and have a track record for just doing great for business and for the planet. Thank you, Graham.
John Melo: Graham, the only thing I would add, because the one thing I love about Edward, he so understated and he just execute, right? But the one thing I want to add, just to give you color. I'll just pick one molecule, because it's the highest volume molecule in our portfolio is furnacing, not because we sell it as furnacing because we sell it as the intermediate into many other markets we sell into. Furnacing alone, the cost of furnacing out of Barra Bonita is two-thirds less than what our cost of furnacing has been the first half of the year. That's just one simple example of how that then flows through and impacts our business. This is a major game changer.
Eduardo Alvarez: Yeah. And that percent is not uncommon. I think that's a very material and very significant and representative change across the portfolio.
Graham Tanaka: Okay. So that's really terrific. And looking forward to -- so actually, could I ask what kind of roughly plant utilization rates, do you expect in third and fourth quarters? And when do you reach steady state? Thanks.
Eduardo Alvarez: Look, I mean I have to hit steady state by the next couple of months. It's hard to say what the final utilization is. I can tell you, we have started really well. And so I wouldn't be surprised if we are in the upper 70s. But it will be very interesting to see, as I mentioned, two of them are new products, and that often creates a little bit more variability, our design isn’t really to run this plant 80% plus, it’s 90% close to it.
John Melo: Yeah. It's probably better to really break it down into two parts, which is for the tanks we brought on, we're operating high 80s% utilization. And the total plant will be about actually how fast we can get everything else up and running, which as Eduardo highlighted in the next couple of months, we want that plant fully up and we want to see utilization across all tanks with really the downtime being the ability to put in new strengths to make new molecules.
Eduardo Alvarez: Exactly.
Graham Tanaka: Yeah, I understand that's a normal part of batch processing that you'd be doing switching. And I assume that's why you have eight tanks and talk about five lines for clean and prep. But a lot of investors are actually wondering when you put the new large 600,000 leader tanks in that you have already sitting somewhere in mothball, I guess, or maybe you pulled it out of mothball, when do you install those because people are now worried about can you meet demand next year?
Han Kieftenbeld: I think John mentioned, we are actively looking at next year. If you ask me what quarter, I really need to just, we -- it won't be an issue of engineering and construction, it’s really more around also making sure that we got the right production window, because we -- you also -- we would be producing full blast. So we would have to balance it in the pecking order of our plan. But we will be -- we expect it to be fully in production by next year.
Graham Tanaka: That's great. Okay. To switch subject -- can I can ask one more question, John. The molecule exclusivity sales, I think a lot of people have a little confusion about how that fits into the long-term business model and plans. And it looks like if you could talk about what your plans are for how many molecules that you could sell, you're not selling the molecule, I understand you're selling just exclusivity. And for that right or that option, a particular luckier partner will be able to -- will have the option to pay up more for that molecule, because they're the only ones that are going to get it off of beneath the mines. So what does that do to the gross margin targets for ingredients, which we used to think versus 27% going to 35% to 40%. Does that take it up higher to say, 50% gross margin, if you add back the implied margin from the sale of the exclusivity rights? Thanks.
John Melo: Yes. We've given guidance or direction on the margin for our technology access based on what we see the go-forward portfolio looking like. So I wouldn't give any more detail on that for now. I think the important thing, that I don't think we've made very public is in the way these deals are structured, continuous cost improvement from strain improvements and process improvement actually are accretive to us and not the buyer. So we end up actually having an opportunity for margin expansion built into the deal structure in the way they're set. And for some molecules, that's pretty meaningful -- for others. You are at a point where there isn't really much more juice to get out other than just getting more and more efficient with the process in the plant. But I just wanted you to know that. It's not that future margin potential is all gone, and we've already vetted that into the near-term outlook for margin structure based on the portfolio moves we see. I think the last point I would add around that question, Graham, is you can imagine with the level of portfolio we have, we're not done. And I think the whole strategy of technology, specifically molecules, fund consumer growth because consumer growth has a lot more margin.  And what we've demonstrated so far, a lot of sustainability in our growth going forward, that's a strategy we see that has a lot of legs. We've already been approached for another molecule in our portfolio that we expect to be what we end up doing sometime in 2023. So there's a lot more to go, we're by no means done. And it's all about a simple strategy. We use amazing technology, to make and scale products. We make and scale them long term, and we monetize the marketing rights because we can't market to everybody everything all the time, and we need to focus our own direct capability on the consumer and let our partners focus on the B2B to sales.
Graham Tanaka: Great. Thank you very much to involve me here. Good luck. Thanks
A – John Melo: Great. Thanks, Graham. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to John Melo, for any closing remarks. Please go ahead.
John Melo: Thank you, Maria. I appreciate your help during this call. And I'd like to thank everybody for joining us today and for your continued interest and support. If we did not get to your question, please follow up with our Investor Relations team. We'll make sure we get back to you with a response. And then we will be working with, and I'm sure in some of the near-term conferences we'll be making our quarter targets quite public, so that our internal targets hopefully matter are very near what our modeling is on the outside, and we can all win together. And I really appreciate again your support, and I'm looking forward to a great second half and having the big investment cycle behind us and really realize the full potential of what we built. Thank you so much. Great day to everybody.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.